Operator: Good day, and welcome to the KNOT Offshore Partners First Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. 
 I would now like to turn the conference over to Arild Vik. Please go ahead, sir. 
Arild Vik: Thank you very much, and welcome to KNOT Offshore Partners' first quarter earnings call 2014. With me here, today, is Bjorn Bakkevig, who is the Chairman of our GP. 
 I think I will just go straight into the presentation. There is the notice to recipients which you will all be familiar with. 
 We have had a steady quarter with no surprises, really. And for this first quarter, we generated net income of $6.4 million, operating income of $9.4 million, adjusted EBITDA of $16.1 million and a distributable cash flow of $8.9 million. 
 I see that there is -- somehow, there has been a mistake there because the actual number in the distributable cash flow page is $9.1 million. So there is, unfortunately, a mistake that popped up in our presentation. But -- sorry about that, but it's $9.1 million. 
 So based on this, we expect to pay quarterly distribution, as announced earlier, tomorrow of -- at $0.435 per unit, corresponding to an annualized distribution of $1.74 per unit. 
 During the period, we have previously advised that BG Group will not exercise its option to extend the Windsor time charter. The process of re-employing the vessel is ongoing, and KNOT are looking at specific options for this, but it's too early to give any more information on it. 
 Further to that, we continue to see the growth potential. In addition to the fact that we remain to have 4 drop-downs, we have -- KNOT is in the process of acquiring the 2 Lauritzen vessels, which then will be eligible for drop-down to the MLP. And we also see now that oil companies are starting to move in relation to new projects, which we will have to come back to further. 
 In terms of the actual numbers on Page 4, I think the most relevant comparison is to the 3 months ended December 31 of '13. Earnings are -- gross earnings are slightly down. That's basically due to the fact that there are 10 less earning days in this period. 
 OpEx is slightly up, although we have, throughout since the IPO, had very -- we have had very low or met the forecast well. And if we adjust for the fact that 1 more ship has been added to the fleet since we did the IPO, our OpEx levels are still lower than the forecasted levels. 
 We have showing -- we here show stable interest cost. We do -- since we have done certain derivatives on the interest side, there are unrealized losses which then are offset by unrealized gains, which is then the reason why we have close to 0 on net realized and unrealized gain in the result, giving us then a net income of $6.4 million.
 In terms of the balance sheet, there is no major developments in the balance sheet. We have continued to reduce debt in our interest-bearing debt of 342 -- $343 million. We pay average credit margin of 2.7%. And as mentioned, we do have -- we have secured $250 million of interest rate risk. 
 We are in compliance with all covenants, and we are also -- started the process to discuss the refinancing for the group, extending maturities and lowering credit margin, and we will hope to conclude this within the next month.
 In terms of the distributable cash flow, as mentioned, unfortunately, there is a slight mistake there. But we show there $9.1 million as distributable cash, which is in line with the projections, and there are really no changes to the way that is -- comes about. And the same applies for the adjusted EBITDA, which is $16.1 million. So we, on a general level, feel that we are meeting the forecasted levels with good margin.
 As mentioned before, KNOT, our sponsor is in the process of acquiring the Lauritzen tankers, the 3 Lauritzen tankers, of which 2 will be eligible for drop down to the MLP. And that is ongoing. We are awaiting charters approval, but we expect that is something that will be finalized fairly soon. And then, there will -- the vessels will have a suitable time to be offered to the MLP. 
 In terms of our contract structure, there's nothing new to our contract structure except the cost, where we then -- as noted, the Windsor Knutsen is now not extended, although it's still going for BG and will do so until sometime during this summer. And in case the rechartering shows -- is done at the lower time charter rate than the existing one, the guarantee from KNOT will apply. So based on this, we have an average contract duration of 6.1 years for the existing fleet. 
 And on Page 10, where we have the drop-down, identified drop-downs, excluding in this, the Lauritzen vessels as they have still not been formally taken over, we then have 7.2 years fixed and 12.2 years including options, which is the long-term contract backlog which we expect to include in the MLP at the right time.
 So in summary, on Page 11, the Q1 is as forecasted, and we continue to have, as I mentioned, a solid contract base. We have now secured interest risk, swapping dollars into fixed rates for $250 million. 
 We have or KNOT has entered into this contract and expect to finalize soon the purchase of the shuttle tankers from Lauritzen. And we have mentioned BG, where we are continuing to look for reemployment and, in any case, there is a KNOT guarantee. 
 Then, as mentioned, we see now that the oil companies are starting to move in relation to new business activity and, therefore, we expect to see more activity in the near future. 
 And I'll leave to Bjorn to say a little bit about the expectations that we have going forward. 
Bjorn Bakkevig: Thanks, Arild. We get a lot of questions from investors that are aware of the negative trends in the financial markets regarding the offshore sector. And generally, the oil companies have announced that they're going to watch carefully their spending going forward, and we've seen repricing in the rig sector. 
 Overview of the outlook for our business is fundamentally different. We think we have a much better visibility, given that it takes a long time to mature these offshore oilfields. The effect of that is that we -- that what you see with the exploration drilling sector these days is going to be business for us in 5 to 8 years going forward. That means that we haven't been as optimistic as we are now for the last 2 years. 
 So going forward, we really assume that there will be a lot of new contracts coming into the market, and we expect those to be concluded in the near future. We think this is an important point because we're really different from the general rig drilling business in a lot of ways. 
 Thanks. I think, with that, we can open for questions. 
Operator: [Operator Instructions] Our first question comes today from Matthew Phillips with Clarkson. 
Matthew Phillips: On the Windsor Knutsen, I mean, is -- I was wondering if you could use that as an opportunity to speak about Brazil in general? The production lag there are well known. I mean, do you expect that this is more of a blip? I mean, do you think that BG ends up taking this vessel in the future? What market dynamics are you seeing down there currently? 
Arild Vik: Well, I mean, it's not a blip because it's been going on for a while. I think that Transpetro, Petrobras has had some issues which they have actually recognized themselves. We think that they have put efforts into changing -- to make changes. They have done things in the management. They have done things in the way they operate, and they have drawn in more international partners. And I think that when we look at the operate -- or the production statistics recently, they have managed to actually get a number of their units going over the last few months. So we do continue to believe in Brazil. It's been, I think, tougher for them than expected. But from what we hear and see now, we know that there are new activity coming. And we know that, that will lead to the requirements which we have predicted. So I'd say that we are 12 to 18 months later on than we expected it would be. But I think we are now actually coming to a point when things are picking up again. And this will -- it will be possible for us to be more specific on these issues within the next quarters, I think. 
Matthew Phillips: Yes. I mean, that makes sense. I mean, it seems they're still certainly taking rigs down there. They're just pushing much hard on rates. So I mean the demand it seems like it's still there, so that does make sense. On the 2 -- the 3 vessels acquired by the GP from Lauritzen. The 2 that are potentially dropped down to MLP, would they move to the front of the line compared to the prior identified new buildings, or what would you expect the timing there? 
Arild Vik: We haven't sort of established the order in that sense, so we will come back to them when we are -- and we'll announce that as we go with it. I mean, the good thing of course is that it increases the overall backlog for us. 
Operator: [Operator Instructions] There appears to be no further questions at this time, so this concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks. 
Arild Vik: Yes. Thank you, all, for listening to us, and we would like to welcome you all back in 3 months' time to talk about the second quarter. Thank you. 
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Take care.